Operator: Ladies and gentlemen, the call conference of Eagle Point Income Company Inc. will begin shortly. Please stay connected. Ladies and gentlemen, the conference of Eagle Point Income Company Inc. will begin shortly. Please stay connected. Thank you. Ladies and gentlemen, greetings, and welcome to the Eagle Point Income Company Inc. fourth quarter 2024 earnings conference call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference, please signal the operator by pressing star and zero on your telephone keypad. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Peter Sceusa with ICR. Please go ahead.
Peter Sceusa: Thank you. Good morning. As a reminder, before we begin our formal remarks, the matters discussed in this call include forward-looking statements or projected financial information that involve risks and uncertainties that may cause the company's actual results to differ materially from those projected in such forward-looking statements and projected financial information. For further information on factors that could impact the company and the statements and projections contained herein, refer to the company's filings with the Securities and Exchange Commission. Each forward-looking statement and projection of financial information made during this call is based on information available to us as of the date of this call. We disclaim any obligation to update our forward-looking statements unless required by law. A replay of this call can be accessed for thirty days via the company's website, www.eaglepointincome.com. Earlier today, we filed our form NCSR, which includes our full year 2024 audited financial statements and our fourth quarter investor presentation with the Securities and Exchange Commission. The financial statements and our fourth quarter investor presentation are also available within the Investor Relations section of the company's website. The financial statements can be found by following the financial statements and reports link, and the investor presentation can be found by following the presentations and events link. I will now turn the call over to Tom Majewski, Chairman and Chief Executive Officer of Eagle Point Income Company Inc.
Tom Majewski: Thank you, Peter, and welcome everyone to Eagle Point Income Company Inc.'s fourth quarter earnings call. We appreciate your interest in Eagle Point Income Company Inc. or EIC. If you have not done so already, we invite you to download our investor presentation from our website at eaglepointincome.com. This presentation contains detailed information about the company and our investment portfolio. 2024 was another excellent year for EIC, capped off by a solid fourth quarter. For the year, we generated a GAAP return on equity of 21% and the total return on our common stock was 24.8% assuming you reinvested your distributions. We paid $2.40 per share in cash distributions to our common holders, or about 15.2% of our average stock price during the year. We received strong and consistent recurring cash flows from the company's investment totaling $3.30 per share for the year. And this is in line with the common stock distributions and expenses excluding certain nonrecurring items. Among our highlights for the quarter, the company received recurring cash flows of $16.1 million or $0.82 per share. This compares to cash flows from the prior quarter of $13.1 million or $0.76 per share. We saw strong cash flows from our CLO debt investments in the quarter bolstered by first payments on new investments purchased in prior quarters. We continue to deploy significant capital into new CLO investments which will make their first cash payments to us in 2025. The company generated net investment income and realized gains of $0.54 per share in the fourth quarter. For the second consecutive quarter, we realized $0.08 per share of realized gains as we fully realized discounts on many of the purchases over the past quarters sooner than anticipated. Our NAV as of December 31st stood at $14.99 per share, which is a 1% increase from September 30th and a 4% increase from where it stood at the beginning of 2024. In line with prior quarters, we paid three monthly common distributions of $0.20 per share during the fourth quarter and we have declared those same monthly distributions through June 2025. We continue to strengthen our balance sheet through our at-the-market program, or ATM, and our now concluded committed equity finance program. We issued approximately 2.5 million common shares at a premium to NAV generating NAV accretion of $0.05 per share during the quarter. We also received about $12 million proceeds from additional issuances of our Series B and Series C term preferred stock. Daily average trading volume for our common stock also continues to increase, with volume in the fourth quarter about 18% higher than the third quarter. Fourth quarter volume was nearly triple the average trading volume that we saw one year ago. While many of our double B coupons remain in the double digits today, they do float based on short-term interest rates. As many of you are aware, the short end of the curve has come down by about 1% over the past few months as the Fed cut rates. This will lower interest rates on our CLO double B's and could impact our NII in the coming quarters. That said, we are actively managing our portfolio towards maximizing yields, and the portfolio's CLO equity exposure continues to enhance our portfolio's earnings ability. As investors focused on long-term earnings, we remain consistent in our approach to construct a portfolio that we believe can weather any economic cycle. For additional commentary on the overall market and our recent portfolio, I would like to turn the call over to senior principal and portfolio manager Dan Ko.
Dan Ko: Thank you, Tom. We continue to find attractive investment opportunities across the CLO market junior CLO debt and CLO equity. With ample dry powder, EIC capitalized on the market opportunity in the fourth quarter by investing in high-yielding CLO debt and CLO equity. We continue to believe floating rate CLO debt offers an attractive return profile compared to other fixed income securities even if rates come down a bit more. Furthermore, CLO equity is relatively insulated from rate movements because it is principally a spread arbitrage product. Also, all things equal, lower rates should lead to a lower loan default rate in our underlying CLO portfolios. During the fourth quarter, we found attractive return profiles in both the primary and secondary markets. We deployed approximately $91 million of gross capital into new investments. The weighted average effective yield of the new CLO purchases during the quarter was a robust 11%. The S&P UBS leveraged loan index, formerly the Credit Suisse leveraged loan index, finished the year strong generating a total return of 2.3% for the quarter and 9.1% for 2024. The index continued its positive trajectory into the new year with loans up 70 basis points in January. During the fourth quarter, approximately 7% of leverage loans market-wide or roughly 26% annualized repaid at par. The prepayments were once again driven by loan issuers focused on refinancing their near-term maturities in an effort to further extend the maturity profile of their debt. Regarding new CLO issuance, we saw $59 billion of new issuance in the fourth quarter of 2024 leading to a record $202 billion for the full year, exceeding the previous record of $187 billion set in 2021. Despite the record level of new CLO issuance, net issuance of CLOs was a more modest $70 billion in 2024. As expected, we continue to see a large increase in resets and refinancings of CLOs driven in large part by tightening CLO debt spreads. Similarly, breaking 2021 records, total issuance volume, including refinancings and resets, reached $509 billion for the year, exceeding $138 billion from a few years ago. For 2024, we completed five refinancings of our CLO equity position basis points. We also completed four resets which extended the reinvestment period of each CLO to five years, and thereby increased our CLO equities portfolio's weighted average remaining reinvestment period or WARP to 3.0 years. Increasing WARP remains our focus for the CLO equity portion of EIC's portfolio. We continue to expect that refinancings, resets, and calls will lead to some of our previous discounted CLOBB purchases being repaid at par, crystallizing the complexity in certain of our investments sooner than anticipated and realizing gains in the portfolio. There were only nine leveraged loan defaults in the fourth quarter with the trailing twelve-month default rate rising slightly to 0.9% as of year-end, still remaining well below the historical average of 2.6%. EIC's portfolio's default exposure as of December 31st stood at 0.4%. We expect default risk to remain low for the foreseeable future. As we have consistently noted, CLOBBs have performed well through numerous economic cycles in the past, experiencing very low long-term default. We believe it would take a significant amount of loan defaults, well above the historical average, coupled with limited loan price volatility for EIC's portfolio to be permanently impacted by a default wave. We remain well-positioned to deploy new capital into additional investments that offer compelling risk-adjusted returns for the company's portfolio. With that, I will now turn the call over to our advisors' Chief Accounting Officer, Lena Umnova, to walk through our financial results.
Lena Umnova: Thank you, Dan. During the fourth quarter, the company recorded NII and realized gains of $10.6 million or $0.54 per share. This compares to NII and realized gains of $0.57 per share for the third quarter of 2024 and NII less realized losses of $0.54 per share for the fourth quarter of 2023. When unrealized portfolio appreciation is included, the company recorded GAAP net income of $15 million or $0.76 per share. The company's fourth quarter net income was comprised of total investment income of $13.6 million, net realized gain on investments of $1.6 million, net unrealized appreciation on investments of $2.0 million, and unrealized depreciation on certain liabilities held at fair value of $2.5 million. This was partially offset by financing costs and operating expenses of $4.7 million. Additionally, for the fourth quarter, the company recorded other comprehensive losses of $2.4 million representing the change in fair value on the company's financial liabilities attributed to instrument-specific credit risk. During the fourth quarter, we paid three monthly distributions of $0.20 per share, and last week, we also declared monthly distributions of $0.20 per share through June of 2025. As of year-end, the company had outstanding borrowings from the revolving credit facility and preferred equity which totaled 30% of total assets less current liabilities. This measure is within our long-term target leverage ratio range of 25% to 35% at which we expect to operate the company under normal market conditions. The company's assets coverage ratios at quarter-end for preferred stock and debt calculated in accordance with investment company act requirements were 336% and 22,429%, comfortably above the statutory requirements of 200% and 300% for preferred stock and debt. As of December month-end, the company's net assets value was $317 million or $14.99 per share, a 1% increase compared to $14.90 per share as of September month-end. Moving on to our portfolio activities so far this year through January 31st, the company received current cash flows on its investment portfolio of $15.1 million. Note that some of the company's investments are still expected to make their first payments later in the quarter. As of January 31st, net of pending investment transactions and settlements, the company had over $30 million of cash and revolver capacity available for investment. Management's unaudited estimate of the company's NAV as of January 31st was between $14.96 and $15.06 per share. At the midpoint, it is up from where it stood at the end of 2024. I will now turn the call back over to Tom to provide closing remarks before we open it up for questions.
Tom Majewski: Thanks, Lena. EIC had a great 2024 and is positioned well for 2025. We continue to believe our portfolio is constructed to succeed in any rate or economic environment. We will continue to closely monitor changes in short-term rates and indeed, are considering deploying additional capital into CLO equity which is generally less rate sensitive than CLO double B's. We maintain the view that CLO double B's and CLO equity are some of the most resilient asset classes in the market, attributable to both their structural protections and underlying collateral. We remain confident that EIC is well-positioned to continue generating compelling risk-adjusted returns for our fellow shareholders. We thank you for your time and interest in Eagle Point Income Company Inc. Lena, Dan, and I will now open the call to your questions. Operator?
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. You may press star and two if you would like. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. Ladies and gentlemen, we will wait for a moment while we poll for questions.
Operator: The first question is from Ladenburg Thalmann. Please go ahead.
Mickey: Yes. Good morning, everyone. Tom, live CLO liability spreads have tightened dramatically with the lack of M&A, you know, sort of limiting new CLO creation. As you have been involved in this market, you know, through many cycles, how do you see CLO debt liability spreads trending over the next couple of years?
Tom Majewski: I do not know where they are going to be tomorrow. Good morning. Tomorrow, they are probably around the same and maybe a little tighter. So over time, you know, CLO debt tranches of which EIC invests in have performed exceptionally well from a total return perspective. Certainly relative to the ratings and an absolute instance of loss. You know, double B's about, I think, it is a four basis point default rate annually over the last thirty years. Tranches above that generally have even lower default rates, obviously. You get paid very well. So triple A's today, generically, are one fifteen over. You know, at the five and, you know, five and a half percent return. You know, give or take. That is pretty darn attractive. For an asset class that has never had a pick, let alone a default. That spread has always been wider than other most other widespread, you know, broadly accepted structured products. Even going back to the pre-financial crisis days, CLO is always wide to the CMBS and things like that. It should continue to trend tighter. An option that CLO debt investors write is a little bit of a spread option. If historic credit expense is very low, the one thing that is less certain compared to other forms of structured products is the call rights. And while we are very happy at EIC and that generated eight cents of realized gains for us, this quarter. The buying the vast majority of that were CLOs that were called and paid off at par. We had bought the double B's at a discount, proverbially yesterday. The bad news is now we have to go reinvest, and in general, we are reinvesting. Those might have been seven hundred overbangs, or six hundred over bonds. We are reinvesting in a five hundred over market. So on one hand, relative to the credit expense, CLO debts spreads are very, very wide in my opinion even at today's tight levels. That said, we are facing reinvestment risk or, you know, we are having to reinvest tighter, than the stuff that is getting called out, and it is because equity investors are calling deals and refinancing them tighter, resetting them or refinancing them or calling them. So it should continue to grow grind tighter over time based on credit experience in the asset class. The one variability is that call rate which is not embedded in a lot of other ABS or CMBS type products, not the way it is in CLOs, so holders of CLO debt are writing some degree of spread option. But in our view, we are getting very, very well compensated for it.
Mickey: Yeah. I agree with that view, Tom. And I suppose that sort of the backup your prepared remarks of why you are looking at increasing your allocation to CLO equity. And you have also increased your allocation to CFO debt and equity. So those are generating very nice yields. For you. Could you just highlight the risks in CFOs compared to CLOs and how high are you willing to go with your allocation to CFO and CLO equity?
Tom Majewski: Sure. So for CLO equity, I think we we hang on one second. I am gonna try. I am looking at thirty minutes. Thirty five. Yes. CLO equity, we we we do state our materials. I wanted to make sure I had the number right. For everything, we kinda target no more than thirty-five percent. So it is sixty-five percent double B sort of minimum in our management. You never want to go all the way to the extremes on these things. Could we see CLO equity get to thirty percent of the portfolio? That does not strike me as crazy. Obviously, it is all market dependent, but that is something I would see going potentially going up a little bit. But certainly, overall, we have the hard minimum of sixty-five percent CLO debt, which I would obviously that we do not plan to tinker with that. So broadly, could you see CLO equity going up a bit? I think would be the one change if you had to think what could happen depending on market conditions in our portfolio. Let's talk about CFOs, and we have just a small number of positions in here. These are investments that popped up. We have got three different vehicles, and we have, you know, different tranches of them, some debt and some equity. This kinda comes from and Eagle Point has a as a firm, we have a large and robust CFO investment program. We have certainly hundreds of millions of dollars maybe even, you know, probably it is well over half a billion, but not a billion, of invested in in this market here at EIC has, you know, thirteen million give or take of fair value, plus or minus a tiny bit. It is a relatively very, very small portion of the portfolio, and these investments from, you know, presented particularly attractive opportunities. And you can see by the yields on the CFO debt and then the expected yield effective yields on the CFO equity. We hope every investment yields that well. Obviously, those are kinda real peaches to find those when they do. In general, we are not a big buyer of CFO equity. But there are a few special exceptions, particularly the secondaries funds which we think have a real real upside. In many cases, the borrowers, the companies in these underlying vehicles are the same companies that are the borrowers in CLOs. So we are the underlying credits in these are principally corporate credit, just the same that we would see in CLOs. In some cases, though, this is the equity of those companies owned through funds. I will remove it a little bit down in the capital structure with them. The flip side, these are very, very attractive, you know, risk-adjusted yields for sure. The amount of subordination below the average CFO debt tranche is much greater than in a CLO debt tranche order of magnitude could be two x amount of subordination. Generically, if you think of a CFO, a CLO is having eight percent par subordination to a double B tranche, a CFO in many cases, would have twenty percent subordination. Some may be higher, some may be lower, but generically, where I think we would see a bunch more subordination coming in. And then with the secondaries ones, one of the things that makes secondary investing in in LP markets so attractive because these folks are generically able to buy LP interest at eighty to ninety cents of fair value. Providing liquidity for someone who is in a locked-up vehicle but they have to take a discount to get it. It is always a good idea to buy I will take the midpoint of that eighty-five. So it is a good thing to buy a hundred at eighty-five if you have the wherewithal to hold. And certainly, these CFOs do and EIC does. That said, there is risk. The underlying most of this is equity of the same companies, but not necessarily same companies. That said, CFO debt is a credit instrument against that portfolio. And these folks all have great track records doing what they do. A little bit of a long answer, I would not expect this portion of the portfolio to grow significantly. It grow a little bit? Possibly. Highly, highly selective when EIC participates in investments like these. But you can see from the yields, you know, we we we always like buying hundred dollar bills for eighty-five cents on the dollar. We are getting locked up to hold it for a while, but that is the thing that makes these attractive. And then the debt, I wish all our CLO double B's yielded with these with these CFO debt tranches are yielding. A little bit different risk profile a lot more equity subordination.
Mickey: Looks really interesting, Tom. My last question is following I calculate the weighted average cash yield in EIC's CLO equity investments, to remain in the mid-twenties. But the weighted average effective yield keeps ticking down. As the arbitrage has been challenged with such tight loan spreads. You know, we have talked about this many times over the years. But over time, those yields need to track each other. So yeah, how do you see that relationship developing given that you know, cash yields remain so attractive?
Dan Ko: Hey, Mickey. It is Dan Ko here. I mean I do. Hey. How are you? And so we see certainly, as you mentioned, the cash yields are meaning very, very attractive. But CLO equity, you know, and when we kinda calculate in an effective yield, we are factoring in that we are not gonna get necessarily a hundred cents on the dollar back kind of at the end, you know, CLO equity, typically does not get that amount. Obviously, if we do, that is great. But, you know, I guess our base case is that we get somewhere between kinda forty to sixty cents on the dollar back at the end. So that kind of I guess, explains why the cash yields are so high, but then the effective yields are much lower than that. I guess the effective yield has also been somewhat affected by some of the spread compression that we have been seeing in the market on the loan side, but we have also been kind of counteracting that with some of the refinancing and reset activity that we have been doing to cut the liability costs on the, on the CLO debt side of the equation to to kind of balance that out.
Tom Majewski: So on one hand, I am complaining that our bonds are getting ripped out of us and paid off at par. We love the gains that we are realizing. We hope we, you know, cannot forecast it, but we love eight cents a gains. That is great. Bad news, we are reinvesting at lower spreads. That is for our CLO double B portfolio. Good news for our CLO equity portfolios, we can reset those double B's tighter.
Mickey: Which
Lena Umnova: Yeah.
Tom Majewski: We we did a number in this in this CLO. This fund had a number of resets and we will continue to do them whenever possible. Oh, what our weighted average spread on the loans was down but our weighted average triple A as as every time we do a reset, we are usually lowering our cost there too. So we want to keep it as low as possible on the right side. And one really nice thing your loan spreads will move up and down over time. If spreads gap out tomorrow, which is not what we are predicting, but if it were to happen, the new CLO debt spreads that we are locking in today as an equity for our equity book, it will last for five or seven years. So if loan spreads widen we still got today's cheap triple A's locked in.
Mickey: I understand everything you and Dan have explained, but I am not sure I understand how you expect, you know, sort of the delta between because over time, they need to trend in the in the same direction, but that is not happening now.
Tom Majewski: Are you implying that you think effective yields have sort of bottomed out? Not specifically.
Lena Umnova: The
Tom Majewski: I guess, the one thing when we and we lay out all our assumptions and footnotes of the financials in, you know, painstaking detail, we assume loan spreads in our effective yields. We assume loans spreads continue to tighten by a certain amount. But we do not assume any resets or refinancings on the CLO. We do assume a call at an optimal call date, you know, some period of time after the reinvestment period. But so one of the things going on is loan spreads are coming down right now. And we are, in our models, assuming loan spreads will go down further. But we are not taking any credit on the liability side of the CLOs. That is one thing that will certainly exacerbate some of this. To the extent you watch the broader loan market in see loan spreads keep coming down, that comes down in all of our CLOs even if we reset a handful this quarter. We are gonna have more pain on the asset side by a few basis points than we will have benefit on our liability side within a given CLO. That is gonna probably I could see that moving the wrong way for a little while. Against that, we continue to go in and rip out cost on the right side of CLOs whenever it makes economic sense to do so.
Mickey: Understand. That is it for me this afternoon. I appreciate your time. Thank you.
Dan Ko: Thanks for calling in, Mickey.
Operator: Thank you. As there are no further questions, I would now hand the conference over to Thomas Majewski for his closing comments.
Tom Majewski: Great. Thank you very much. Lena, Dan, and I appreciate everyone's interest in Eagle Point Income Company Inc. A great 2024. 2025 off to a good start. We are around later today. If folks have any questions, happy to follow-up with further details. Thank you, and have a great day.
Operator: Ladies and gentlemen, the conference of Eagle Point Income Company Inc. has now concluded. Thank you for your participation. You may now disconnect your line.